Operator: Greetings, and welcome to the Bel Fuse Inc. First Quarter 2025 earnings call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Jean Marie Young with Three Part Advisors. Please go ahead, Jean.
Jean Marie Young: Thank you, Daryl, and good morning, everyone. Before we begin, I'd like to remind everyone that during today's conference call, we will make statements relating to our business that will be considered forward-looking statements under federal securities laws, such as statements regarding the company's expected operating and financial performance for future periods, including guidance for future periods in 2025. These statements are based on the company's current expectations and reflect the company's views only as of today. They should not be considered representative of the company's views as of any subsequent date. The company disclaims any obligation to update any forward-looking statements or outlook. Actual results for future periods may differ materially from those projected by these forward-looking statements due to a number of risks, uncertainties, and other factors. These material risks are summarized in the press release that we issued after market close yesterday. Additional information about the material risks and other important factors that could potentially impact our financial performance and cause actual results to differ materially from our expectations is discussed in our filings with the Securities and Exchange Commission, including our most recent annual report on Form 10-Ks and our quarterly reports and other documents that we have filed or may file with the SEC from time to time. We may also discuss non-GAAP results during this call, and reconciliations of our GAAP results to non-GAAP results have been included in our press release. Our press release and our SEC filings are all available at the IR section of the website. Joining me today on the call is Dan Bernstein, President and CEO, Farouq Tuweiq, CFO, and Lynn Hutkin, Vice President of Financial Reporting and Investor Relations. With that, I'd like to turn the call over to Dan. Dan?
Dan Bernstein: Thank you, Jean. We were pleased with our first quarter results, which were in line with our expectations for the quarter. Our recent acquisition of Enercon continues to perform well and has helped to further diversify Bel Fuse Inc. from an end markets and geographic perspective. During the first quarter of 2025, the aerospace defense, or A&D end markets, accounted for 38% of our global sales, making it our largest end market segment. Other highlights during the first quarter included AI, which contributed $4.6 million of revenue, and space, which contributed $2.3 million of revenue during the first quarter of 2025. This represents double-digit growth in each of these end markets compared to the first quarter of 2024. Other factors impacting the quarter were lower sales into our consumer market related to a banned Chinese supplier, eMobility, and a normalization of sales into our end market. We are definitely entering a new challenging phase with the global tariffs. However, based on our diversification strategy, our manufacturing, and our product portfolio, I am confident that we will navigate through this. With that, I'm turning the call over to Lynn. Lynn?
Lynn Hutkin: Thank you, Dan. From a financial perspective, we observed continued margin expansion when comparing Q1 2025 to Q1 2024. Sales for the first quarter of 2025 reached $152.2 million, reflecting an 18.9% increase from the first quarter of 2024. The strong performance within our A&D end market and the improvement in sales in our magnetic segment helped offset the year-over-year decline in our networking, consumer, rail, and eMobility end markets within our power segment during the first quarter of 2025 compared to the same quarter of 2024. Our gross margin improved to 38.6% in Q1 2025, up from 37.5% in Q1 2024. These profitability gains were primarily driven by our magnetic and connectivity segments. Gross margin increased by 110 basis points in Q1 2025 compared to Q1 2024. This margin improvement was supported by a favorable product mix and the successful implementation of various cost reduction and efficiency programs. Now turning to our product groups. Sales of power solutions and protection in the first quarter of 2025 amounted to $83.1 million, reflecting a 37.9% increase compared to the same period last year. This growth was largely driven by our new aerospace and defense exposure, which contributed $32.4 million to the power segment for the first three months of 2025. On the consumer side, sales decreased by $2.8 million in Q1 2025 compared to Q1 2024, primarily due to the trade restriction imposed on one of our suppliers in China, as mentioned in our prior earnings calls. Additionally, given eMobility sales were still robust in Q1 of 2024, we saw a $1.6 million year-over-year decline in this end market in Q1 2025. Sales into the rail end market have started to normalize coming off an unusually strong 2024, resulting in a $1.5 million reduction during Q1 2025 compared to the same period of 2024. These declines were partially offset by a $3.8 million increase in sales to our AI customers, bringing total AI sales for Q1 2025 to $4.6 million. Further, circuit protection sales increased by $700,000 in Q1 2025 compared to Q1 2024. The gross margin for the Power segment in the first quarter of 2025 was 42.6%, reflecting a decline of 140 basis points from Q1 2024. This decrease was primarily attributed to nonrecurring items that were recorded at a 100% gross margin in Q1 2024. On the plus side, our power gross margins were favorably impacted by appreciation of the US dollar versus the Chinese renminbi during the 2025 quarter. Turning to our connectivity solutions group. Sales for Q1 2025 reached $50.7 million, a decrease of 6.5% compared to Q1 2024. Sales for commercial air applications in Q1 2025 were $12.9 million, which represents a decline of $1.7 million or 12% from Q1 2024. Additionally, sales into the industrial end markets fell by $800,000 compared to the same period last year. On the positive side, connectivity products sold into defense applications totaled $12.2 million in Q1 2025, an increase of 13% from Q1 2024, and sales into the space end market reached $2.3 million in Q1 2025, up by 15% from Q1 2024. The gross margin for this group was 37.9% in the first quarter of 2025, representing an improvement of 180 basis points from Q1 2024. This margin expansion was largely attributable to operational efficiencies achieved through facility consolidations completed in 2024, along with favorable foreign exchange impacts related to the peso. These positive drivers were partially offset by minimum wage increases in Mexico that took effect in Q1 2025. Lastly, in the first quarter of 2025, our Magnetic Solutions Group recorded sales of $18.5 million, representing a 36.1% increase compared to the first quarter of 2024. This level of growth aligns with expectations discussed during last quarter's earnings calls, where we noted that sales volumes have stabilized and we were beginning to see a rebound since the second quarter of 2024. The gross margin for this group improved to 24.7% in Q1 2025 compared to 16% in Q1 2024, marking an 870 basis point improvement year over year. This increase in margin was primarily driven by the higher sales volume in Q1 2025 as well as recent facility consolidations in China and favorable exchange rates related to the Chinese renminbi compared to Q1 2024. At the consolidated level across all product segments, our total backlog of orders reached $395.7 million, reflecting an increase of $14.1 million or 4% compared to December 31, 2024. R&D expenses reached $7.2 million in Q1 2025, a higher level compared to Q1 2024 primarily due to the acquisition of Enercon and the inclusion of their expenses. We expect future quarters to generally align with the Q1 2025 expense. Selling, general, and administrative expenses totaled $29.5 million, representing 19.4% of sales. Compared to the previous year, SG&A increased by $4.6 million in 2025. Again, the primary factor contributing to this rise in SG&A is the inclusion of Enercon expenses. Within SG&A, increases were seen in legal fees, salaries, fringe benefits, and amortization expense, which were largely offset by a reduction in incentive compensation. As there were no unusual items in SG&A during Q1 2025, future quarters in 2025. Looking at our balance sheet and cash flow, we finished the quarter with $67 million in cash and securities, a decrease of $2 million from the $69 million we reported at the end of 2024. This change was mainly due to the repayment of long-term debt, amounting to $7.5 million, $2.8 million spent on capital expenditures, and a dividend payment of $829,000. These cash outflows were partially offset by $8.1 million in net cash generated from operating activities. I would now like to turn the call over to Farouq. Farouq?
Farouq Tuweiq: Thank you, Lynn. Good morning, everybody. After coming out of a solid and predictable first quarter, we have less clarity as we look ahead to the second quarter. In order to frame what we are seeing, let's first talk about our base business demand, putting tariffs aside. As we mentioned on our February call, we were largely optimistic entering into 2025, with growth expected across the business with varying degrees. Magnetics was expected to be our largest percentage grower this year, followed by Enercon on a pro forma basis. The end markets of defense, space, and AI were all robust and growing. We expected to see a rebound in networking and distribution sales as we went through the year, predominantly in the second half. Year-over-year challenges this year would largely be in our power segment, with tough comps to 2024 for the rail and consumer markets and continued softness in eMobility. Each of these comments from our February call is still the current state of affairs of our base business. So the good news is, aside from tariffs, there are no changes to report at this time. Now onto the tariff discussion. To provide some broad context, approximately 25% of our consolidated sales are brought into the US from countries outside of the US and therefore potentially could be subject to recent tariffs. The other 75%, the majority of our business, is either manufactured outside the US and shipped to customers located outside of the US or is manufactured in the US for local consumption. Of the 25%, a little over 10% is China, with the balance largely coming from Europe, India, Israel, and Mexico, along with a few other places. Keep in mind that even these imports are not all equal, and certain of our products imported into the US come through various trade advantage zones. For example, our Mexico products are covered under the USMCA trade agreement, and these are currently exempt from tariffs. A similar trade agreement exists between the US and the Dominican Republic and the Caribbean broader nations. However, those do appear to be subject to tariffs today. Even as it relates to imports from China, certain of our customers who are the importers of record operate within free trade zones in the US and therefore can receive product into the US and ship it back out of the US all on a tariff-free basis. As we look at the road ahead on trade, we view tariffs in two separate buckets: China and everybody else. China is its own concern, as we all know about. So we have we believe that that. As for the rest, we feel clarity will come in Q2 as agreements are reached with friendly nations such as India and Israel. The bottom line is we will be looking to pass full tariff exposures onwards. As of today, we have started to see push-out requests from some customers related to product coming into the US from China, specifically until there's further clarity. We believe our second quarter will likely be the most impacted as customers remain in a holding pattern while the administration works out the individual trade deals. In yesterday afternoon's earnings release, we noted a revenue guide for Q2 of a range from $145 million to $155 million. Given the information we have as of today, this is our best estimate of where the quarter will land, based on underlying demand and taking into account some potential downside related to tariffs. Please keep in mind, this is a highly dynamic and changing environment that we're all working closely with our customers to navigate. Today, we are better prepared to deal with these uncertain times as we have built a more nimble and resilient organization in recent years, including us starting to move some products from China into our India operations mid to late last year and expect to do more so as time goes on. While tariffs do create uncertainty, they also do create an opportunity for us, and we will be looking for it on the sales and procurement sides. On the sales front, we aim to develop and grow our tier two customer base as a means of mitigating fluctuations that can happen with our tier one customer volumes. New tools will enable our sales teams to engage in digital data mining and opportunity pipeline tracking. These items, coupled with enhancements to our commission structure, aim to drive growth within new customers. On the procurement side, a series of initiatives are currently underway. Rising geopolitical tensions are driving tariff increases and trade restrictions, reinforcing the need for supplier diversification and regional sourcing strategies. Further, inflationary pressures are resulting in higher wages in the countries in which Bel Fuse Inc. operates, emphasizing the need for further automation. We did on the SKU level profitability side a few years back and more recently. Our procurement spend will be managed through data analytics and KPI tracking. Cost savings are expected to be realized over the next 12 to 18 months, driven by price negotiation, spend consolidation, identifying alternate suppliers, automation, and other cost optimization opportunities. These are all things we are excited about. From a liquidity perspective, this has become more of a focus for us given the murky near-term outlook. As a reminder, our credit facility is set to expire in September 2026, and our plan was to refinance the facility during the summer of 2025 to ensure a new arrangement was in place prior to the current facility going into a current liability classification. Given the current macro environment and uncertainty of how the market will look this summer, we decided it's best to be more proactive in this regard versus waiting until the summertime. We are currently and we have launched the process of working with our bank group to amend our existing credit facility to increase our capacity under the agreement and to extend the maturity date. We anticipate this will be finalized in the next week or two. We're focused on that pay down as well. While we did not pay as much as we had hoped in Q1, only about $7 million, this is understandable and expected. As Q1 is a very heavy cash outflow quarter for Bel Fuse Inc. due to our various annual payments such as IT licenses, insurance, dividend, and annual bonuses. To put that in perspective, in April alone, by this coming Monday, Tuesday, we would have paid $10 million down further against our debt and expect to pay down an incremental $10 to $15 million by the end of this quarter, so May and June. In summary, while we are encouraged by our business demand and internal issues on the sales and procurement fronts, the current tariff landscape cannot be ignored. Bel Fuse Inc. will almost certainly be impacted by it in some way. However, we believe our exposure is contained to our relatively small percent of our business, especially given the industry in the way which we operate. While the current levels of China tariffs are unprecedented, tariffs in general are not new to Bel Fuse Inc., and we have successfully navigated them in the past. Importantly, our business today is more diversified and less dependent on China than it has ever been. We'll continue to take actions within our control to mitigate those factors. With that, turn the call over to Dan.
Dan Bernstein: Alright. Thank you, Farouq. Before opening the call for questions, as this is my last earnings call as a CEO, I wanted to take this opportunity to thank all associates around the world for the tremendous level of hard work and dedication to Bel Fuse Inc. over these many years. To think back at the business my father founded over 75 years ago, he would be amazed at what we have achieved together as a team. It's been a true honor to lead such a talented group of individuals during my tenure as CEO. And to the Bel Fuse Inc. shareholders, thank you for your support and belief in Bel Fuse Inc. as we grow and continue to evolve. I'm grateful that you have chosen to be part of Bel Fuse Inc. during this journey. As a large shareholder myself, I'm confident that Farouq and the executive team will do an excellent job. With that, I'd like to turn the call back to Daryl to open up the call for questions.
Operator: Thank you. We will now be conducting a question and answer session. You may press star two to remove yourself from the queue. One moment please while we poll for your questions. Our first question comes from the line of Bobby Brooks with Northland Capital Markets. Please proceed with your questions.
Bobby Brooks: Hey, good morning, guys. Thank you for taking my question. I just want to say first, great call on the tariff impact. That's really appreciated. It seems like you guys have really good insulation from it. But I was just hoping maybe could you just discuss it a little bit by product segment? Between, you know, kinda contrasting how maybe Magnetics, Power, and Connectivity are separately impacted. Maybe it is all the same between all three, but I feel like there's probably a little bit of divergence between the three.
Lynn Hutkin: Sure. Hi, Bobby. This is Lynn. So by product segment, I guess let's first start with Connectivity. The vast majority of Connectivity is not impacted by the US tariffs. They do the majority of their manufacturing in the US and then the UK for local consumption in each of those regions. So there's a very small amount of impact there. So largely unimpacted, let's say. On the Power side, we estimate that about 60% or thereabouts of Power is not impacted by the US tariffs. The balance of Power, you know, as you know, there's manufacturing in China, Slovakia, Israel. So a portion of those goods are manufactured there and do come into the US and are currently subject to tariffs. On the Magnetic side, again, it's a similar percentage. About 60% there is not subject to US tariffs. There is a portion that is manufactured in the Dominican Republic, which as Farouq mentioned is currently subject even though it is under CAFTA. It still appears to be subject to those 10% tariffs in place today. So that's how it breaks down by product group.
Bobby Brooks: Got it. That's super helpful color. And then second, you know, Connectivity, the past several quarters has kind of been the bright spot for you guys in terms of, like, year-over-year growth. I was just a little surprised to see it down 6.5% this quarter. You did mention that commercial air was down 12% year-over-year. Was that really the primary driver of this decline? Just was hoping to get more color on that decrease and maybe how you think that dynamic evolves going forward.
Lynn Hutkin: Yeah. So on the Connectivity side, the year-over-year decline was largely driven by the reduction in commercial air. And a lot of that just has to do with timing where, you know, their production levels are still down a bit. So that was the main driver. There was also some softness in the industrial area. But the balance of the segment was still strong, and defense was up year-over-year. So I would say largely commercial air was the driver there.
Farouq Tuweiq: And I think, Bobby, based on all the public comments that's out there, right, is there's that hope and expectation of continuing to ramp up the outputs as we go through the year and with seeing other requests coming into the FAA. The other thing keeping in mind that, you know, things kinda went on pause back in the fall time frame with all the union negotiations. So all that's gonna be a work on the system. I think when we look at the outlook and the backlog, we definitely expect this to recover. Just happen to play out here this one.
Bobby Brooks: Fair enough. That makes a lot of sense. And then maybe last one for me. Obviously, you guys gave some pretty good nominal color on the AI benefits. You know, it was like $4.6 million in the quarter. Right? And that was up double digits year-over-year. Could you maybe just rehash for us to remind I think it'd be helpful for everybody in the call to get reminded of, you know, it's my understanding it's really the Power segment that is seeing that AI benefit. And could you just discuss, like, who these I know sometimes you don't have visibility because it's going through distribution, but any visibility you can have on, like, the type of AI customers and ultimately what those products are being used for in, you know, the AI space, that'd be helpful. Thank you.
Farouq Tuweiq: Yeah. So, Bobby, I appreciate the question. And as you called it out, right, when we call out AI, we think of that as the floor. Because above that, some of our other products will make their way into AI type applications through various channels, including some of our networking customers. When we talk about AI, this is kind of undoubtable floor base case, if you will. And that revenue is largely going to GPU manufacturers. Now I wanna be very careful with saying that because we are not aligned to the kinda headline grabbing guys, the large public companies that we all read about. We are focused generally on more private heavily funded next-gen type GPU manufacturers in the US largely. So and that's how really a testament to how Bel Fuse Inc. does things very well, which is we do a lot of hand-holding with our engineers and our customer engineers. We co-develop and we become a true partner to them throughout their journey of growth. So in short, I would think of these as GPU type manufacturers.
Bobby Brooks: Super helpful, Collier. Appreciate the call, and congrats on the strong Q1 print. And Dan, cheers to the next step in your career. Thank you for all the help. I'll return to the queue.
Dan Bernstein: Thank you for the kind words.
Farouq Tuweiq: Thanks, Bobby.
Operator: Thank you. Our next question comes from the line of James Ricchiuti with Needham and Company. Please proceed with your questions.
James Ricchiuti: Hi. Good morning. Hey, Dan. I'll echo my congratulations as well. Wish you the best. Farouq and Lynn, a couple of questions. I'm wondering if you could talk about the enterprise business. What you're seeing in that business, if you can, the change in the business, the growth of the business on a pro forma basis. Year-over-year since we don't have a lot of experience with it. For the March quarter.
Farouq Tuweiq: Yeah. So I'd say Jim, it's kind of is what it is. It's what we thought it was, which is all good. Right? Now prove we think it's better than what we thought it was.
James Ricchiuti: There you go. Go on to sell it, Farouq. Come on.
Farouq Tuweiq: Yeah. No. It's a great business. There you go. And, you know, it's interesting because Dan and I and Steve were just in Israel. The first roughly the first week in April. So we're kind of up to date there. But, you know, as you remember, Jim initially talked about this back in September, then we closed it in November. We talked about it in February, and here we are again. And I think the theme of all throughout all these conversations is continued robustness and growth. Excellent, excellent team, technology, alignment with customers, financial profile, is kind of the growth side of things, the margin profile. So to Dan's point, you know, we're very excited about having the team. And also as we just think about on the Bel Fuse Inc. side of things, right, today, as Dan said, A&D is roughly 38% of our business in the quarter. It's our largest market. Good tailwinds. And, obviously, as you know, Enercon is both suppliers into the US and Israel, and some other places such as the Europeans and India. So we continue to be very excited about that. We also do see the opportunity to further accelerate their growth in places like Europe and in America. So there's a lot of exciting things for us. So it is as at a minimum as advertised, but it's definitely ahead for us, which is great. Dan, you wanna add to that, or does that cover?
Dan Bernstein: I think, again, we do you know, we were surprised again, you know, how much we do like it. You know, we tend to be somewhat hesitant. And I think there's a lot of things going on at this time, but they're looking outside the box that we don't wanna discuss. Because it's too initial. But they are looking at a lot of exciting opportunities that personally we didn't have in our own house. So we think the future is very, very strong for them. And we just see a lot of upside. So I think it's a great deal for the company and our shareholders. And the price we paid was a very, as you know, a very excellent price compared to what was being sold in the marketplace today.
James Ricchiuti: It may be a little early. And, Farouq, you may have alluded to this in the answer you just gave. But are you seeing any revenue synergy opportunities yet, or is that something you anticipate coming later on?
Farouq Tuweiq: Yeah. No. So remember, you know, putting aside that this is all different. Right, which takes a little bit of while. So, really, it starts out with filling up the funnel and let's call it new opportunities. So as we think about the funneling process, we definitely see some of the benefits of flagging things, let's say, between the Enercon folks and the Bel Fuse Inc. folks. And we have a program in place to really push this to ensure that our sales team and our business development market intelligence folks are aligned. As we see about filling in the funnel, right, beyond what was already in the funnel, right, the benefits of synergies, we are definitely seeing some of those opportunities. And we have referred some of these opportunities to each other, if you will. So we're definitely excited. But, you know, in terms of monetization, you know, do you know, this is a little bit of a longer design cycle, but step one, fill up the funnel, which we are seeing and doing, which is good to see. And then, you know, when we do look at the underlying fundamentals of what's going on in broader defense, things are moving quicker just given the global world that we're living in today. So we think that know, potentially be an accelerant than base than base normal time. Right? So I think we are in a good market, in a good time. And we have the right team around the table. So I think all that should yield pretty good outcomes for us.
James Ricchiuti: Alright. Final question for me is just I think last call you talked about a couple of facility consolidations and the product transition line of fuse line in China. Any update and any other plans for consolidation or changes in the footprint just given what we're seeing out in the market?
Farouq Tuweiq: Yeah. No. It's a good question there, Jim. So correct. We are fully out of the fuse. And we have a fully empty facility. I think we're out of there first maybe week or two in January. So that's been another one that we're say we're fully out now. We're just in the process of winding that out from an entity and then a building perspective. So that's good to see. We're seeing cleanup in that operational structure, which is great to see. In terms of operations, you know, everything's kinda proceeding on path. Nothing new to announce. Maybe to extend your question there a little bit, and I alluded to it in my comments. Obviously, there's China and there's everybody else in this day and age that we're living in. And we had started moving some of our products both on the power and the magnetic side from China into our India facility. Remember, we acquired an India facility there back in 2021, and that's kind of our foothold there into India. So as we started that, roughly, I think, Q3 last year to Q4 where we're getting the lines up and going, we did that in advance of, obviously, any of the tariffs or even the new administration coming in. So as we look for the rest of the year, we will be looking to shift more, let's call it, at-risk revenue into our India operations. As we said earlier, roughly 10% of our revenue is subject to China and we'll wanna, you know, move some of that as we can into extent that we can into other places. So I'd say the team has really done an excellent job on being nimble and forward with a long tight partnership with our customers to really try to kinda move this thing. Then our teams have been great, both in China and India. But that's not to be, you know, slept on as we build a more connected organization globally. We're putting in the plumbing to more dynamically move things across facilities, which is very good in this day and age.
James Ricchiuti: Guys, thanks very much.
Lynn Hutkin: You're welcome.
Operator: Thank you. Our next question has come from the line of Christopher Glynn with Oppenheimer. Please proceed with your questions.
Christopher Glynn: Hey, Thanks. Good morning, everyone. You know, as much as Farouq's added to insight and execution over the past few years. It sounds like, Dan, you're still adding some value to the his curve there with the advice on answering Enercon. And good luck in the future. Wanted to ask about the $8 million to $10 million allowance there. Couple things, do you see that as deferred or migrated from Bel Fuse Inc. and you know, hypothetically say, if you think you know, if rev if tariffs were maybe cut in half, would that break in an impasse? Because it seems like you know, the implication of the allowances that you're holding price discipline and not willing to eat any tariffs.
Farouq Tuweiq: Yes. So that's a good question, Chris. Right? So what we're seeing is I'd say, you know, largely maybe the distributors, but also some OEMs as well. And I'm gonna put some broad strokes here because there's always, obviously, exceptions. So if you're gonna take product coming in from China and pay excuse me, wrong numbers, a 150% tariff, and then the tariffs get resolved for, let's say, in a month, then all of a sudden, you have this really expensive product right, that you have paid for to bring it into the US. And then you know, how do you sell that? Right? If now the gates of cheaper products or lower tariffs come in. So as people wrestle with having expensive goods coming in, that's one piece of it. So we're seeing a few folks just say, listen. Let's just take a breather here. I got some components here in the inventory. Let me chew into that inventory until we get a little bit of clarity. So to your question, well, what happens? Yeah. I think there's a few different outcomes. One, people really go deep into their inventory and becomes over depleted, and then all of a sudden, you know, you could potentially start getting this, you know, let's say, makeup ordering or acceleration of ordering. So more of a push-out type approach. So that is a possibility. The other possibility is it's also gonna depend on well, what happens with, you know, some of this great trade zone and that we keep hearing about and what happens to the others. Right? So to put it in perspective, India today is at 27%, I believe. Right? So if today it's a 150 tier versus 27%, you know, that's a pretty big difference. But if India goes to zero, and China comes down to 40% or 50%, you know, I think you might be back into the same game because there's a lot of efficiency to be gained in places like China. So it's hard to just look at China because we gotta look at what happens to everybody else. I would say some of the other locations globally got hit a lot harder, including, you know, Vietnam and Thailand, which are not necessarily places for us. So could it be this is a push-out or a pause? Yes. Could it be, you know, a I don't wanna say, a floodgate, but, you know, a makeup orders, if you will. Sure. Could you also lose some of this revenue? I'd say maybe yes in more of our commodity consumer business, but for our other business, you know, I'd say that it's a little bit more sticky. So the answer is yes. We think there could be deferred, if you will. The question is when and how long. And that's why I said earlier, I think Q2, as we think about the rest of the world, working out with these one-on-one trades with the Trump and the We think there'll be a lot of clarity in May and June. And then we'll the dust will settle. And I think it sounds like the public chatter, I think there's mixed messages on what's going on with China, but we are seeing, you know, potentially some, you know, people trying to get to something. So I think people are just saying, let's just take a breather here unless I absolutely need it. And it could be deferred.
Christopher Glynn: Great. Thank you for all that color. And just wanted to dive into the networking market a little bit. I think we have a good glimpse of how that is playing through at Magnetics with the comparisons and some normalization there. Could you touch on networking as it pertains to the other two segments, please?
Lynn Hutkin: Sure. So on the Power side, you know, when we look at networking, and we'll carve out AI from that. Right? Because we talked about AI separately. So AI is strong for Power. On the networking side though, we have seen some downward pressure in networking from last year versus this year. However, we have started to see an increase in bookings there. So it does seem to be coming back later, you know, this year. But in Q1, networking was down. So that's an area of rebound that we're still waiting to come back. And then on the Connectivity side, there is a little bit of networking in there, but Connectivity is largely A&D, industrial, and, you know, with a portion of it going through distribution. So it's not as much networking exposure in Connectivity.
Farouq Tuweiq: I think, Chris, that I know deals with our expectation. Right? We're seeing kind of the backlog come in. You know, I should say throughout the quarter, in general, we've seen some very nice bookings. What I was saying earlier about our outlook for the year. Come through and which kinda reaffirmed. So aside from tariffs.
Christopher Glynn: And last one for me. How are you seeing design and activity in general? Is there any kind of consternation in the pacing relative to trade, or is it totally separate and, you know, in an absolute sense? How it's designed and activated?
Dan Bernstein: COVID. I think some things, you know, because of, you know, COVID, we still have effects on where, basically, you know, everybody's looked focusing on sourcing and so forth. I think it's leveled off now to a certain extent. However, we are we are y'all we are pushing it hard. And I think the point of bringing in our new head of revenue is really a go-to-market strategy, is really focused on what we have to do to jump start and do a better job than we have done in the past. So as Farouq mentioned, we're taking a whole lot unique a different approach for us. Of how we go to market, the strategy we're using. How to address second tier, third tier customers. We're very fortunate to have the person that came to us came to one of the largest distributors in the world. His revenue was about $1.6 billion. And he oversaw over 500 people. So we do have high expectation for him to turn around our strategy on how we go to market going forward. So for us, I think there's still many exciting opportunities out there. I think that's the overarching view there, Chris.
Farouq Tuweiq: When we kind of lay it into kind of end markets, obviously, AI bucks that trend. Right? It's kinda what Dan talked about, and then defense, Right? We're seeing some nice stuff there, obviously. And so I think our overarching theme is, I think we're in a good place. But to Dan's point, we want more. And so and we think we'll driving to a lot of them. This will be a big year to put down the plumbing for that. But in some areas, just given the dynamics of the world around, we're seeing some good stuff. You know, it's interesting. You know, Dan's comments remind me is when if you remember on our consumer side, we always talked about that Chinese supplier that got banned in Q2 last year. And when we look at our business within consumer aside from that Chinese consumer, it's actually experiencing really nice growth. Which is, I think, a testament to the team. Now it's obviously off of, you know, smaller dollar amount. But the growth we're seeing there is from a percentage perspective is very good. And I think some of the shift in the way we're thinking about things we're seeing it, you know, some bright spots. But, obviously, you know, I think tariffs gonna move things a little bit here. But, ultimately, we want more going forward.
Christopher Glynn: Thanks, guys.
Operator: Thank you. Our next question comes from the line of Greg Palm with Craig Hallum. Please proceed with your questions.
Greg Palm: Yeah. Thanks. Good morning, everybody. And Dan would just like to echo my congratulations as well on a very successful tenure and career at Bel Fuse Inc. Thank you so much. Can we maybe just start on the quarter you know, it was sort of at the upper end of the guidance. I'm curious, did you see any pull in of orders ahead of those tariffs?
Farouq Tuweiq: Yeah. Not so much this go around. We saw the inverse of that. So I would say no. There might be an exception here and there, but it wasn't then it wasn't a theme for us this quarter.
Greg Palm: Okay. And as you kinda think ahead, you know, as a reaction to these tariffs, I mean, how quickly can you move manufacturing around into other regions if this becomes a permanent thing, and I guess the bigger question is what kind of capacity you have.
Dan Bernstein: Let me just answer that. I think the question is to you is where do we move? I mean, I think that was the concern we had, you know, four years ago. You know, a lot of our competitors a lot of our customers moved to Mexico. Or Vietnam. And I know that at this point have been hit very hard. And that's our biggest problem is where do we go and so forth. But we have done a good job of looking at, you know, building a base in India. Four years ago, we had no operation in India. Today, we have three different operations. You know? In India. I think you know, we're looking two. I'm sorry. We're looking for a third. So we really are focused to know, to prepare ourselves. To be able to move quickly if it needs to be. Farouq?
Farouq Tuweiq: Yeah. And I think, Greg, just keeping in mind that our product is, you know, we're not making stuff and just selling it. Right? It comes with audits. Customers have to take a look at it. They gotta make sure the facility does what they need it to do. Need customer approvals before you can move facilities. In places like defense, that takes a very long time. In places, you know, so we're not doing kind of the more heavily commodity stuff. So for us, it takes a little bit of while. And as a result of that, you know, we started putting, you know, the plumbing in, like I said, into India, right, from back in Q3 last year. You know, the question becomes is we've always contemplated where do we go in India. Was there a very natural play. I think we have a very friendly relations with India. I think, ultimately, all the body language indicates that we will work something out. But, you know, we have contemplated in the past. They're gonna play places like in Thailand and Vietnam. And when we look at the tariffs, those guys got hit with, you know, it's I'd say, it was God we didn't spend all that money. Moving to those places just to I mean, I'm gonna whip some crazy tariffs. So I think we'll get some clarity on, you know, who's where who what nations we're really friendly with, and we think we'll be in that, and I think that's gonna probably a focus of ours.
Greg Palm: Yep. Understood. And then, I guess, lastly, on the AI related revenue. So that's a pretty big step up, you know, in this quarter relative to the annual in 2024, I'm curious, is that a function of current customers ramping up? Is that, you know, expansion of new customers? What's exactly are you seeing in that particular vertical?
Farouq Tuweiq: That's I think it's a combination. I mean, it's interesting. Right? When we go after these kind of customers and to be clear, it's a little bit of a different extent, but when we look at space, for example, right, obviously, it's been around for a little bit longer but we've seen kind of that 15% year-over-year growth. And when we looked at eMobility before eMobility cooled down, right, you align yourself with these customers to get in early, you design with them. And then as they start ramping up their sales efforts and getting customers, you will see that, you know, pretty big step function. So I would look at the AI jump as people we've had a relationship with for a long time. And as they start proving out their technology and selling their technology on the GPU side, we see big steps. So I think what you're seeing right now is we're going through these big steps. I'd say these customers that we speak highly are relatively, you know, newish type companies. And, you know, so they're not kind of, like I said, the main headline guy that you read into the newspapers. So these people are, I'd say, you know, they're all newish customers. But for us, newish means we've been with them for a while. We've talked to them for a while, but now newish in a sense we started seeing the revenue side of it.
Greg Palm: Understood. Alright. Best of luck. Thanks.
Farouq Tuweiq: Appreciate it.
Operator: Thank you. Our next question is come from the line of Theodore O'Neill with Litchfield Hills Research. Please proceed with your questions.
Theodore O'Neill: Thanks very much and congratulations on the good quarter. So I was wondering if you looking at your opportunities in sort of in new products, design wins, and new customers, does this change in the environment change the way you focus on those issues?
Lynn Hutkin: Yeah. You know, it's you know, we tend to kind of, in, like, a very cliche manner, think about market on settlements in terms of opportunity. So obviously, you know, as we think about China tariffs. Right? So we're gonna feel that little bit on the 10% side, but, you know, we also have other competitors out there. So I'm not entirely sure. I think it changes maybe, let's say, our operations. So we've always been focused on operations. Where should we be? What should we to Dan's point, where do you go? We're gonna get some clarity on that, and we've been already kinda laying on pipe work into India. So from operation perspective, sure. I think from a sales perspective, we do think there are opportunities. And in these times, these are the times that we need to be out there supporting our customers. And ingratiating ourselves and leading with our minds versus, you know, commodity. So does it change a little bit? Sure. But, ultimately, we are a long design cycle business, and if you remember, Theo, over 90% of our business, our customers themselves are B2B. Right? So businesses will invest and where they're part of the technology solution. So I would say it changes a little bit, creates opportunity, but we are committed on, you know, where we go from here. And, again, has been around since 2018, 2019, right, when they so it's not a now nobody, I think, thought it would escalate to this level, but we do think cooler heads at some point will prevail.
Theodore O'Neill: And my last question is, given what's going on in the market, what's the level of activity you're seeing in terms of potential acquisitions?
Farouq Tuweiq: Yeah. So we're redoing our facility to get more capacity. We're focused on now paying down because we think that's just gonna be a good thing to do, and one of the reasons is maybe we'll see how the world goes out here, but it may create opportunity on that side of it. I would say overall, we started seeing a little bit of a healthier M&A market in Q1. But then as the tariff discussion started taking hold, companies that were gonna come out or people that were entertaining a sale kinda wanna pause a little bit. I think there's just a lot of wait and see similar to our customers we're seeing on a side. So I would say the money market is quiet. It's a wait and see approach. So Q2, I would say, we expect it's probably largely quiet. And then we'll see where the rest of the year shakes out. But I'd say we were on a good glide path initially. From just the overall market activity in Q1 before we can hit a little bit of a pause there.
Theodore O'Neill: Okay. Thanks very much, and good luck to you, Dan.
Dan Bernstein: Thank you very much.
Operator: Thank you. Our next question is coming from the line of Hendi Susanto with Gabelli Funds. Please proceed with your question.
Hendi Susanto: Good morning. And then first of all to Dan, thank you for all these many years, and all the best for your next chapter.
Dan Bernstein: I might have to call you up every quarter because I miss you so much.
Hendi Susanto: Excuse me then. So my first question is now that we have tariffs and tariff challenges, what is the latest status of inventory correction and expectation on market's recovery in some areas that you haven't discussed?
Farouq Tuweiq: Yeah. So could I I so there was a three tier. So, you know, we knew consumer would be a little bit challenged kinda later on through the year, but tariffs, you know, kind of changed some of that. But I remember tariffs, while we said it's around 25% of our business, it's not all the same. So we kinda look at the 10% coming out of China as the really big question mark and what happens there. The other 15%, I think, is kind of acceptable, and they you know, some of that's going to kinda really growing into end markets like defense. So I would say, you know, of that 15%, there's good market growth and recovery in some areas. It's the China piece that we're waiting to get some clarity on. So I'd say overall, and this is kinda why we repeated what we talked about in February where we do expect the recovery. So I think we just need to get a little bit clarity on Q2, but ultimately, we think we'll get through it and have a little more clarity heading in. And that's why we called out in our earnings release last night and date some of the let's call it, revenue that maybe got impacted with this pause that we're in right now.
Hendi Susanto: Yes. And then the 10% of sales that has exposure, any insight into how much of those where Bel Fuse Inc. has a single supplier positions, like, well Bel Fuse Inc. is the only supplier, and then any also and if there are also any insight where customers may have multiple suppliers, but all of those have the same challenge. In other words, it's everyone is on par with one another. And there's no alternative of, like, shifting to let's say, like, non-China location?
Farouq Tuweiq: Yeah. I appreciate the question. Yeah. I'd say it kinda runs the gamut. Some of it is we're sole source, and some of it is multi-source. Some of it is highly engineered custom work that we do, and some of it is commodity, like, the more of our consumer stuff. So I would just say it runs the gamut. So that's why, you know, even when we do look within that number, it's not one big brush where we could say, okay. If all goes out the window or all stays, right? So it will be a few different shades of that. To your point about maybe some of the more, you know, commodity stuff, could somebody know, switch buying from, let's say, China to a place in Vietnam, sure. But it's not like, Vietnam today has zero tariff. Right? So it is better tariff level, but China has a lot of efficiencies. Right? So mathematically, sure, it's lower tariffs, but the, you know, as we think about the efficiency side of things, you know, China still is very, very good. Into that world. So will we expect maybe to lose some of that and more commodity stuff? Sure. But I think there's a lot of wait and see just in the market right now. Because, again, our industry, you know, switching is not the easiest of choices to happen overnight. Generally, there needs to be a little bit of a plan for it.
Hendi Susanto: Yeah. And then may I verify how much exposure American business has to tariffs?
Farouq Tuweiq: Yeah. So I would say, you know, we do have some of their products that gets shipped in from Israel. So that would get tariffed and, you know, maybe a couple other locations as well. But remember, that's all that can largely defend sole source. Right? So that stuff, you know, we are passing it on. I would say that's a high, high, high switching cost. Again, nobody likes paying those, but I think, you know, those we feel solid about or more comfortable with.
Lynn Hutkin: And the majority, Hendi, there is as you know, there are a couple of manufacturing facilities for Enercon in the US. And part of their production process brings in, you know, partially assembled product from the Israel site. So it's largely intercompany, so the tariffs would be at, you know, Bel's cost currently. But to Farouq's point, everything goes into defense. For the most part.
Hendi Susanto: Got it. Yes. And then this is a hypothetical question. So but let's say if tariff persists based on how you dealt with tariff in the past, do you foresee negotiation on the customer by customer basis? And then do you expect, like, a quick or, like, prolonged negotiation? Like, what are some lesson learned from let's say, like, negotiation on how to split the tariffs with your customers in the past?
Farouq Tuweiq: Yeah. I think I'll keep the commentary there a little bit high level, Hendi. But generally, our nature of our business, it's customer to customer. Right? So any time we do a purchase order or order or anything, it's customer to customer. So therefore, we're not just putting something on a shelf and then people come by. Right? So it's everything we do is really one to one. Within those one to one, there's different levels skews between the customer, what products we're selling. Right? So it's again, it's hard to paint a broad brush. But, generally, our approach is, you know, we are not really in a position to be eating the tariffs. And with, you know, our industry, broadly speaking, and including Bel Fuse Inc., did that back in 2018, 2019. And we did operate under those tariffs, and the industry's done that now. It's a different dollar amount to your point. But, you know, for us, from a scale perspective, the kind of value engineering that we bring not really in a position to be getting those things. The other thing I would say is roughly 70% of and Lynn can correct me if I'm wrong, of our imports are coming into the US. Our customer is the importer of record. And what that basically means, we're delivering the product somewhere, let's say, for example, in Hong Kong, and they're bringing it into the US, and they're dealing with the tariffs, right, and so on. So and I think that's a pretty important thing. I mean, ultimately, the tariffs are getting paid, but we're not the ones that are standing front and center on that. So, again, we realign our shipping, let's say, routes over the last two, three years to include more of this record of imports importer of records off to the customer. Versus us getting into the shipping business. So long way of saying is, you know, it's all one to one, and our operating mantra, barring any exceptions, is to pass it on.
Hendi Susanto: Thank you so much, Dan, Farouq, Lynn, and Jean.
Farouq Tuweiq: Thank you. Thank you, Hendi.
Operator: Thank you. This now concludes our question and answer session. I would now like to turn the floor back over to Dan Bernstein for closing comments.
Dan Bernstein: Just again, I'd like to thank everybody for following us, and I can't tell you how pleased I am to have Farouq aboard the executive team we put together over the past two years. As I said, I'm extremely successful. On the future of the company. And once again, I truly wanna thank everybody for your support over these years. You made my job a lot easier. So, generally, I would say I speak to you in a quarter, but I'm not gonna speak to you in a quarter. But I'll speak to you at the annual meeting if you ever wanna come to the annual meeting. Thank you.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's teleconference. You may now disconnect your lines. And have a wonderful day.